Executives: Patrick J. Watson - Senior Vice President, Corporate Communications, Inc. Jeffry O. Rosenthal - President, Chief Executive Officer & Director Jared Briskin - Chief Merchant & Senior Vice President Scott J. Bowman - CFO, SVP & Principal Accounting Officer
Analysts: Dan R. Wewer - Raymond James & Associates, Inc. Rafe Jason Jadrosich - Bank of America Merrill Lynch Anthony C. Lebiedzinski - Sidoti & Co. LLC Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker) Sam Poser - Sterne, Agee & Leach, Inc. David G. Magee - SunTrust Robinson Humphrey Stephen V. Tanal - Goldman Sachs & Co. Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker) Camilo R. Lyon - Canaccord Genuity, Inc. Sean P. McGowan - Needham & Co. LLC N. Richard Nelson - Stephens, Inc. Peter Jacob Keith - Piper Jaffray & Co (Broker) Mark E. Smith - Feltl and Company David N. Woodyatt - Keeley Asset Management Corp. John O'Neil - Imperial Capital LLC William A. Priebe - Geneva Capital Management LLC Adam H. Sindler - Deutsche Bank Securities, Inc. Eric Brandt Tracy - Janney Montgomery Scott LLC
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Hibbett Sports fourth quarter 2015 conference call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. As a reminder, this conference is being recorded, Friday, March 13, 2015. I would now like to turn the conference over to Mr. Pat Watson from Corporate Communications. Please go ahead sir.
Patrick J. Watson - Senior Vice President, Corporate Communications, Inc.: Thank you for joining Hibbett Sports to review the company's financial and operating results for the fourth fiscal quarter and the fiscal year ended January 31, 2015. Before we begin, I would like to remind everyone that management's comments in this conference call that are not based on historical facts are forward-looking statements. Management may make additional forward-looking statements in response to your questions. These statements, which reflect the company's current views with respect to future events and financial performance, are made in reliance on the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are subject to uncertainties and risk. It should be noted that the company's future results may differ materially from those anticipated and discussed in the forward-looking statements. Some of the factors that could cause or contribute to such differences have been described in the news release issued earlier this morning and the company's annual report on Form 10-K and in other filings with the Securities and Exchange Commission. We refer you to these sources for more information. I'd now like to turn the call over to Jeff Rosenthal, Chief Executive Officer. Please go ahead, Jeff.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you and good morning, everyone. Welcome to the Hibbett Sports fourth quarter earnings call. I have with me this morning Scott Bowman; Senior VP and CFO; Jared Briskin, Senior VP of Merchandising; as well as Cathy Pryor, Senior VP of Store Operations. We were very pleased with our fourth quarter results. We experienced good comps during the holiday period on top of good comps last year and our product assortments resonated well with our customers for January and February. We experienced a shift compared to last year, in terms of weather impacts and tax refunds. The weather impact shifted to February this year and the tax refunds were issued earlier this year which favored January. Quarter-to-date, we are down mid-single digits due to many factors. There is a shift in tax refunds, court delays and store closings due to weather. However, we are very excited about the rest of the year. For the year, we opened 80 new stores, expanded nine high performing stores, closed 19 underperforming stores, bringing in the store base to 988 stores in 31 states as of January 31, 2015. There are still over 400 additional markets in 31 states that we operate today. We are very positive on our store growth as ever. Next year we are anticipating and opening approximately 80 to 85 new stores, expand 10 to 15 stores and close approximately 15 stores to 20 stores. In April, we will open our 1,000 store. We are beginning to benefit from our new wholesale and logistics facility. As we progress throughout this year, we will plan on seeing more and more benefits from our facility and our new allocation system and our markdown optimization systems, which should help us to continue to get the right product assortments in the right stores at the right time and also see an improvement in product margin. We have also seen benefits from our new labor management tool during the fourth quarter, which gives us confidence in seeing improvements for this year. We have begun our first phase of e-commerce and setting the foundation for the future. We are as excited as ever, in getting this done as soon as possible. We are putting the foundation to help Hibbett grow for many years to come. I want to thank all the Hibbett associates and all the people that have helped Hibbett grow and we'll continue to grow in the future. Now I'll turn the call over to Jared Briskin to talk about the merchandise.
Jared Briskin - Chief Merchant & Senior Vice President: Thank you, Jeff, good morning. Our apparel, footwear, and equipment areas all comped positively for the quarter. Branded apparel achieved a low-single digit increase for the quarter. Men's apparel was up mid-single digits as the athletic bottoms trend drove significant gains. In women's, we had strong gains in tights and fitness apparel, but those gains were offset by declines in outerwear, which led to a flat comp. The kids' apparel business was up low-single digits, also driven by the strong athletic bottom trend. Our accessory business was up mid-single digits, as our investments in cold weather items drove strong results. The footwear business was up high single digits, men's was up high single digits, women's was down mid single-digits and our kids business was up low teens. Our traditional running business continued to be outperformed by the lifestyle category and basket ball offerings, as both of those categories drove double-digit growth. Running across all categories grew high single digits. Under Armour, Nike signature and the continued strength of our Jordon business drove the basket ball category. Running inspired solo access as well as iconic models drove the lifestyle category. Our license business was flat for the quarter, as the low single-digit gain in licensed apparel was offset by a mid single-digit decline in headwear. Positive comps in our college business, NFL business and Major League Baseball business were offset by declines in our NBA business, primarily related to the headwear business. Our equipment area grew mid single digits for the quarter, as strong gains in soccer, football and basketball offset a challenging fitness business. Although the quarter is off to a slow start, weather and shipment patterns should normalize and we're confident, when that happens, our assortment and flow of product will continue to resonate with our customer and yield our expected results. I'll now turn the call over to Scott Bowman.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thanks, Jared. For the fourth quarter total sales increased $21.6 million to $239.3 million, an increase of 9.9% over the prior year. Comp sales were up 5.4%. Gross profit rate decreased 28 basis points in the quarter. Product margin decreased 45 basis points, mainly due to markdowns associated with managing our inventory. Warehouse and store occupancy, decreased 17 basis points as a percent of sales, which was due to leverage of these expenses associated with higher comp sales. SG&A expenses increased 3.4% in the quarter, but decreased 129 basis points, as a percent of sales. We experienced increased leverage due to higher comp sales and tight expense controls, and also experienced lower cost for employee benefits, new store costs, and the annual recognition of gift card breakage. Depreciation and amortization increased 8 basis points as a percent of sales in the quarter, mainly due to our new wholesale logistics facility and the addition of new stores. The income tax rate for the quarter was 37.5% which was similar to last year's rate. Operating income of $31.9 million increased 18.1% from last year and was 13.4% of sales versus 12.4% last year, an increase of 93 basis points. Diluted earnings per share came in at $0.79 per share, versus $0.64 last year, an increase of 23.4%. For the full year, I would also like to mention a few highlights. Total sales were up 7.2% while comp store sales were up 2.9%. Gross profit rate was down 53 basis points, while SG&A expenses decreased 22 basis points as a percent of sales. Operating income decreased 44 basis points to 12.9% and earnings per diluted share of $2.87 increased 6.3%. From a balance sheet perspective, the company ended the quarter with $88.4 million in cash versus $66.2 million last year with no bank debt. Inventories increased 6.1% over last year and were 0.4% lower on a per store basis. We spent $3.9 million in CapEx for the quarter. Also for the quarter, the company bought back 134,000 shares, for a total of $6.4 million. At quarter end, we have approximately $173 million remaining under the existing purchase authorization. As we turn our focus to fiscal 2016, I would like to provide some highlights related to our guidance. For the year, we expect comparable store sales to increase in the low to mid-single-digit range. We plan to open 80 to 85 new stores, expand 10 to 15 existing stores, and close 15 to 20 underperforming stores. We expect earnings per diluted share to be in the range of $2.95 to $3.09. Included in this range are impacts of approximately $0.05 per diluted share for the implementation of a new point-of-sale system, approximately $0.04 per share for increased healthcare and IT cost, and approximately $0.03 per share for increased depreciation. For gross margin, we expect product margin to be slightly positive. We expect benefits from our markdown optimization system as it continues to mature as well as some initial benefits from our new wholesale and logistics facility. With respect to SG&A, we expect the implementation of the new point-of-sale system to negatively impact SG&A by approximately 20 basis points. Additionally, increased healthcare and IT costs will impact SG&A by another 15 to 20 basis points. Depreciation is expected to increase 10 to 15 basis points, mainly due to the full-year effect of our new wholesale and logistics facility, the capitalization of IT initiatives, and an increase in new store openings. We expect our tax rate to be in the range of 37.5% to 37.6% for the year. Our earnings per share guidance reflects the continuation of our share buyback program and we expect a weighted average share count of 24.8 million to 25 million at the end of the year. For capital expenditures, we expect to spend $30 million to $35 million as we invest in our new POS system, grow our store base, and execute on our strategic initiatives to improve the business. With that preview of fiscal 2016, operator, we are now ready for questions. Operator, we are now ready for questions.
Operator: Thank you. And our first question comes from the line of Dan Wewer with Hibbett Sports (sic) [Raymond James]. Please proceed with your question.
Dan R. Wewer - Raymond James & Associates, Inc.: Can you hear me? Hello?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Yes, we can hear you, yes.
Dan R. Wewer - Raymond James & Associates, Inc.: Okay, still with Raymond James, by the way, not with you guys. Jeff, you led off noting that that you wanted to achieve e-commerce capabilities as soon as possible. Could you elaborate on what kind of competitive disadvantage that you think Hibbett is facing today not having those capabilities? And the reason I was asking this is, I'm sure you've seen the results at Dick's and Foot Locker showing 30% plus e-commerce growth.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Sure, Dan. I think we're holding our own, especially in the brick-and-mortar stores. And I'd be crazy not to say that e-commerce hasn't affected us some. But when we get that up and running, I really think that, between the way we operate stores and added that benefit, it will definitely help us. If you look at some of those calls it's probably helping their comps somewhere between 1% to 2%. So when we have that extra feature, I think that will even drive our sales even that much faster.
Dan R. Wewer - Raymond James & Associates, Inc.: Okay. Scott, a question for you. It was a pretty amazing reduction in your expenses during the fourth quarter. It looks like it actually dropped on an absolute basis at a store level. Can you talk about the sustainability of that into 2015, particularly given you have all these new expense headwinds?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: We did have some more one-time favorability in fourth quarter, Dan. As we look forward, a couple of main benefits that I see going forward are number one, from a store labor standpoint I think we continue to get better there. Jeff mentioned the implementation of our labor management system. Cathy Pryor and her operations team have really embraced that system. And as they continue to learn with that system, I think we'll see some decent leverage from a store labor standpoint. So I think that will benefit us. And I think that's the main thing going forward. And I think the other thing is as we continued to grow, we continue to look for ways to lever our expenses, even in light of some of the additional expenses that we're adding on. So it's a constant focus for us. So as we generate that comp sales number of around 3%, we still continue to get some leverage there.
Dan R. Wewer - Raymond James & Associates, Inc.: Okay, and then just a last question I had for Jared. Did I understand correctly that running was up high single digits, but it was still underperforming basketball?
Jared Briskin - Chief Merchant & Senior Vice President: That's correct. Running holistically was up in the high single-digit area inclusive of your traditional performance running categories and lifestyle running categories, yes.
Dan R. Wewer - Raymond James & Associates, Inc.: Is that an acceleration for running?
Jared Briskin - Chief Merchant & Senior Vice President: Running inclusively when you include all those categories has been at that level for some time. I think it really depends on how you look at the running category and what's included in the running category. Our traditional running categories, performance running categories were off mid-single digits. But when you look at running holistically, which includes the fashion running category, it was up high single digits.
Dan R. Wewer - Raymond James & Associates, Inc.: Okay, great. Thank you very much.
Jared Briskin - Chief Merchant & Senior Vice President: Thank you.
Operator: Our next question comes from the line of Rafe Jadrosich from Bank of America Merrill Lynch. Please proceed with your question.
Rafe Jason Jadrosich - Bank of America Merrill Lynch: Hi, good morning. Thanks for taking my question.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Good morning.
Rafe Jason Jadrosich - Bank of America Merrill Lynch: Can you talk about the traffic and ticket trend during the fourth quarter and then how has that trended quarter to date?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Rafe, for the fourth quarter, we actually saw traffic slightly positive, really continuing the similar trend that we've seen recently, with ticket driving more of the comp than traffic, but we did see traffic per transactions slightly positive in the quarter.
Rafe Jason Jadrosich - Bank of America Merrill Lynch: Just in terms of your same-store sales guidance for 2015, what's the average selling price outlook there?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: I think as we go into this year, I still think that the average selling price and ticket will be more of a driver of the comp. We continue to work on things to increase the transaction side. But I still think for this year, it will be more driven by the ASP and ticket.
Rafe Jason Jadrosich - Bank of America Merrill Lynch: And then just a final question, just in terms of the point of sale system upgrade for 2016. Can you provide any color on what additional investments after that needs to be made to get an e-commerce platform up and running? And then maybe any color on the timing of that would be great?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Yes, the new POS that we will install this year will certainly give us a good foundation to build on. After that point in time there is some additional capabilities that we can add on to be able to ship store to home from the DC to home. So that's some added functionality in the core kind of POS when we talk about e-commerce along with that, really the big work there is the creation of the website and the hosting and the feeds for all of the content and everything that you have in front of you.
Rafe Jason Jadrosich - Bank of America Merrill Lynch: Okay, great. Thank you.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company. Please proceed with your question.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Good morning. Just wanted to get a little bit more clarity on the quarter-to-date performance. Just wondering in the stores that are not affected by the weather, can you talk about what same store sales you guys are seeing so far quarter-to-date?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Anthony, we talk about some of the major categories like baseball or soccer. We've seen some pretty good results like in Florida where the weather hasn't been so bad, but you know when you talk like in Alabama, Mississippi even some parts of Texas and some other states, the fields are too wet that people can't get out and that's where we're seeing it. Even locally in some other areas like in Atlanta and some other areas the fields are just soaking wet and are not letting the kids get on the fields. So – but like Florida is encouraging because we really haven't had bad weather in Florida like we have throughout the country. So we have seen some positive things which gives us some confidence that when the weather gets a little bit more normalized, that we'll see positive results.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Got you. And also can you give us an update as far as your traffic driving initiatives, I know in the past you've spoken about doing more mobile texting and then the MVP Rewards program, is there any other initiative perhaps underway to try to get that traffic to your stores in a better direction?
Jared Briskin - Chief Merchant & Senior Vice President: I think we're still looking at certainly growing the loyalty program through the MVP, and then certainly our mobile database and then we're paying particular attention to our social channels currently and we've seen substantial growth over the last 12 months and more specifically in the last six months, really trying to utilize those channels to drive traffic and certainly our new releases feature on our website into our mobile site have been a real drivers for us.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Okay. Great. As far as the point-of-sale system itself. How much of you CapEx is going to go for that?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: On the CapEx side, it's going to be about a third of our CapEx will be dedicated towards that initiative.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Got it, okay. That's helpful, thank you very much.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thank you.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you, Anthony.
Operator: Our next question comes from the line of Peter Benedict with Robert W. Baird & Company. Please proceed with your question.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Hey, guys, thanks. Just first on the fixed cost leverage in COGS during the fourth quarter. Scott you said throughout 17 basis points. Can you break that down between occupancy and warehouse distribution? And then how are you thinking about the leverage hurdle points for those items as we look into 2015.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: So warehouse costs they were leveraged by about 13 points and then store occupancy for and as I look at this year. I think our leverage point for that category of expenses is still right around the 3% level.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Okay, perfect. And then, just drill a little more into the drivers of the product margin as you see 2015 and I know product margin was down probably 40 bps for the year in 2014. I know, you think, it's going to be up a little bit. Just remind us kind of, what are the good inputs and the bad inputs for 2015 and the timing, if there's any timing, we should think about?
Jared Briskin - Chief Merchant & Senior Vice President: Yes. I think that the first input is on from an ageing standpoint, where we currently stand today and what we continue to see from the improvement standpoint then we kind of thought all year last year to really get our ageing under control and we made improvement month-over-month and certainly in a better place as we went through the year, but really are continuing to manage that piece of it, but are getting that closer where we like that to be. So that's where we'll see the first improvement, I mean as we continue to go through this year certainly at the beginning of the year and as every month progresses, we expect to get some benefits out of the markdown optimization system with some of the discipline that's given us with regard to timing of markdowns and how that influences and the gross margins over the long term.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Okay, that's helpful. And then just lastly back to the first quarter, given where are you're to date at low – I think down mid-single is what Jeff said. Given how much of the quarter has already been transacted, I mean, is there a view here that you can get back to positive comps for 1Q in general or is that probably – is that too much to expect at this point? Thanks.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: We're still optimistic, we got a big hurdle to overcome, because February is such a huge volume month for us. We hope with the earlier Easter and some of the initiatives, we have with the launches and some other products getting here finally, we're optimistic that, that could happen. The first quarter will be a little tougher, but we still feel good about the year, where we sit from a product assortment and where we sit in the stores, and you know and definitely getting some benefits from our new logistics facility. We think the combination of those type of things should be able to help us at least get through it. Obviously, February miss definitely makes it a little tougher. And as you look further remainder of the quarter, our compares last year do ease a little bit as we go through the remainder of the quarter.
Peter S. Benedict - Robert W. Baird & Co., Inc. (Broker): Yes, okay. Good, that makes sense. Thanks, guys.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thank you.
Operator: Our next question comes from the line of Sam Poser with Sterne Agee. Please proceed with your question.
Sam Poser - Sterne, Agee & Leach, Inc.: Thank you, good morning. Thanks for taking my question. A couple of – bunch of things. December, January, February comps did you give those?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: No, I didn't Sam. If you look at November, we had a comp of 8.9% followed by December at 1.4%, and then January 11.3%.
Sam Poser - Sterne, Agee & Leach, Inc.: Thank you, and then a couple of things you talked about the expected average selling prices to go up in the year. How much of that do you think is going to be driven by mix versus just your improvement on the systems given the new DC, markdown op and the allocation system?
Jared Briskin - Chief Merchant & Senior Vice President: Sam, it's Jared, I think it's going to be a combination of both. I definitely think we'll certainly see some of the improvement from the allocation system and the mix of markdowns, but I also think mix is going to drive some of that as well. And with some of our focused points on some of our premium initiatives.
Sam Poser - Sterne, Agee & Leach, Inc.: Okay. And then, Jeff, you talked about with the new POS system being put in place by the end of the year. I mean when you're looking at really having an e-commerce platform up and running. I mean are we looking at next year or are we looking at the beginning of fiscal 2018. I mean as you it see right now, where do we stand?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: We feel really good about the first phase, which really built that foundation. You know it gives us real time visibility of inventory, it gives us the capability of store selling store-to-store and raising the conversion, and once we get through that phase then we think a lot of it will speed up, but we're still, until you're through that first space which is really the heavy lifting and then we think we can move along much faster.
Sam Poser - Sterne, Agee & Leach, Inc.: It was like you're spending a nickel, you said a nickel in the earnings in this year for the POS system, I mean, have you, I mean is there any way, I mean, if you spent a little more money upfront, could you get multiple things going on so, you could get this done more quickly, so when you have the situations you faced a year ago January and this February, when you have the number of store closings that you did that you don't just shut down business and can actually do business through the sites and so and so forth?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Yes, we're looking at doing multiple things at a single time and we continue to look at other ways to do multiple projects at the same time. We're looking to bring in someone to help us move down that way even quicker. So we feel a lot of these things could move up, but we got to get this foundation done to do that, but absolutely we want to move it up as fast as we can.
Sam Poser - Sterne, Agee & Leach, Inc.: So again, to my original question, next year in 2018 – I mean calendar 2016, calendar 2017, I mean, right now what should we be thinking?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: It's still little too early to commit.
Sam Poser - Sterne, Agee & Leach, Inc.: All right. Well, thanks, good luck.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thanks Sam.
Operator: Our next question comes from the line of David Magee with SunTrust. Please proceed with your question.
David G. Magee - SunTrust Robinson Humphrey: Hey guys, good morning.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Good morning.
David G. Magee - SunTrust Robinson Humphrey: Just a couple of questions. One, Jared, on the ASP, do you have the benefit this year of much inflation or is it like last year?
Jared Briskin - Chief Merchant & Senior Vice President: It will be similar to last year. There is some inflation. Again, it's not broad across all categories, but there're some categories, where there is some inflation, but I think some of our inflation will maybe due to our mix versus necessarily broad category inflation.
David G. Magee - SunTrust Robinson Humphrey: Okay. And also, Jared, you had mentioned during the run down of the categories a couple of women's categories were down, it sounded like to me. And you mentioned headwear. Could you give a little more color about those two areas?
Jared Briskin - Chief Merchant & Senior Vice President: Yes. So, from a women's perspective, from a footwear perspective specifically, we've been challenged there, for a period of time. We still feel that there is some significant opportunity there and we feel like we're putting the pieces of that together, to get that business turnaround, we see it as a significant opportunity. On the apparel side, we oversold early, I mean we ran out of some key items. So, I think we'll have that rectified as we go forward. We feel like we're in a much better position for the spring selling season in our key products that will help us there. From a headwear standpoint, the headwear business has been challenged for a little while, the headwear business had a trendy silhouette in the two year ago period and year ago period and there's not a trendy silhouette in that category today. So that's where the challenge is coming from.
David G. Magee - SunTrust Robinson Humphrey: Excuse my ignorance what's that trendy silhouette.
Jared Briskin - Chief Merchant & Senior Vice President: It was a Snapback Flat Bill Hat was the trendy silhouette.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: And it is really more from a license standpoint David, from a team. Our regular branded like the Nike or Under Armour or Costa hats has done pretty well.
David G. Magee - SunTrust Robinson Humphrey: Okay, thank you. And, Jeff, just the last question. On the logistics facility this year, at what point do you anticipate that it will be meaningful with regard to in stocks at the store level and helping comps from that perspective?
Jared Briskin - Chief Merchant & Senior Vice President: Yes, I think it'd be more in second half of the year, but we're starting to get some small wind now. And as we fine tune that, we think we'll get even more benefit from it.
David G. Magee - SunTrust Robinson Humphrey: But do you think it will be perceptible in the second half of this year?
Jared Briskin - Chief Merchant & Senior Vice President: I do.
David G. Magee - SunTrust Robinson Humphrey: Great. All right. Thanks, guys.
Jared Briskin - Chief Merchant & Senior Vice President: Thanks, David.
Operator: Our next question comes from the line of Stephen Tanal with Goldman Sachs. Please proceed with your question.
Stephen V. Tanal - Goldman Sachs & Co.: Thanks, guys. Just a quick clarification. On the POS investments, what's sort of the cadence by quarter? Are you doing a lot of that in Q1 or is that more back half just as you think about the model?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: It will be more back half loaded Steven. If I had to guess, it would be more like 75% back half loaded.
Stephen V. Tanal - Goldman Sachs & Co.: Got it. Okay, and just to be clear, it didn't sound like you were committing to sort of a rough timeframe for like having the ability to sell a line, is that right?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Yes, still a lot of work to be done in that area and I guess that as we get this first foundational layer in place that will tell us more and give us a little bit better visibility for the future. In the meantime, we continue to look at the technology options for e-commerce as well as the business process side when you start thinking about returns and logistics and content management and things like that. So there's work being done on it, but after we get this first foundational layer in place, we'll have a better idea of what we see going forward.
Stephen V. Tanal - Goldman Sachs & Co.: Got it. And then on healthcare expenses, I presume this is related to ACA. And pursuant to that, my question would be what percent of your full-time employees are being offered insurance today and what percent of those accept it?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: A high percentage of our full-timers do have healthcare today. And as we look at healthcare next year, there is some increase that we're putting in their for ACA. But really the bigger part of the increase is just the addition of employees that we plan on hiring next year with new store growth and everything. I'm modeling an estimate from Blue Cross on claims inflation. That number can fluctuate, but I'm using the average that they're putting out there. So it's really a combination of some increase in claims, increase in employee head count, and then some increase in ACA, including some of the fixed costs that are in there. So it's a combination of those three things.
Stephen V. Tanal - Goldman Sachs & Co.: Okay, that's helpful. And the last one for me, you stopped short of saying gross margin all together would be up for 2015. But it sounds like a lot of the drivers that you are talking to would suggest that that's a possibility. Am I thinking about that wrong, or is there something else going on there?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: You're thinking about that correctly. The additional impacts that I laid out, a lot of that will hit the SG&A line and depreciation. If you look at the gross margin line, at a low to mid-single comp we should get at least flat or some leverage on our fixed expenses. And then on the product margin side, as we mentioned, we think there's some opportunity for improvement there.
Stephen V. Tanal - Goldman Sachs & Co.: Okay, thanks a lot, guys.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thank you.
Jared Briskin - Chief Merchant & Senior Vice President: Thank you.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Seth Sigman with Credit Suisse. Please proceed with your question.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks very much. I wanted to follow up on the questions about the investments that are planned. So obviously, this year seems like a little bit of a step up in some of the costs both on a dollar basis and as a percent of sales. I'm just trying to understand where the company is within the investment cycle. So when you look at that $0.12 for this year, how much of that is one-time? How much of that goes away? How much of that is structurally being added to the cost structure? As we think about those big buckets like POS and other IT costs, are there other incremental e-commerce costs that come? I'm just trying to figure out how to think about that.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: I'll break it down in a couple of categories for you. As you look at the e-commerce initiative over time, this first phase will have an impact of the $0.05 that I mentioned. As we look at the next year after that, we'll still see an impact there as we continue to build out that capability. You also see some additional depreciation expense in future years as we start to capitalize pieces of that project. So that will be ongoing for the foreseeable future. Some of the other increases, I mentioned for healthcare and IT costs, we continue to make improvements in our IT infrastructure. And so some of that is a little bit more heavily weighted, I would say, this year than what we'll see in future years. So we're making some nice improvements in our capacity, our security, looking at more cloud options to help us be more reliable and stable in the future. So we're making a lot of improvement on the back end of that IT business that will help us in the future and set us up to be more efficient as we grow.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay, that's helpful. And just to narrow on to the e-commerce business, the $0.05, it sounds like there are some investments that will continue. But also as you start to actually sell things online, do you have a feel for the economics of what a sale online will look like? Is that expected to be a drag initially, or is there a way that you're partnered up with some third parties where it should be neutral to the margins? How do you think about that?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: The way that we're thinking about that – it's a good question because as we look at the whole initiative, we have a focus on the opportunity from the sales standpoint, but we also are very aware of the profitability side. And that's one of the reasons why we're going down the path that we are. We want to enable our stores to be able to help us from a distribution standpoint. You can get some more efficient distribution and possibly some freight costs there from a customer standpoint. I think it means a lot to have that capability, especially from a return standpoint. So enabling our stores to integrate in with an e-commerce business is very important to us, especially as we grow the volume of that business. And so as we continue to grow, we'll continue to look for ways like that to leverage our store base to mitigate those costs so we can make some decent money in the future.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay. And I'm sorry if I missed this. But just from a labor perspective, from a wage perspective, are you anticipating in the numbers any upward pressure on wages in upcoming quarters or in the year ahead?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: We're not really anticipating a huge increase there. We've seen the articles in the news and everything. And so we'll continue to monitor that. We feel today that we're competitive from a wage and total benefits package standpoint. Our aim is to continue to be competitive and we'll continue to monitor the marketplace as we go forward. But right now there is not a big impact baked in there. But we'll continue to monitor that situation.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks very much.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thank you, Seth.
Operator: Our next question comes from the line of Camilo Lyon with Canaccord Genuity. Please proceed with your question.
Camilo R. Lyon - Canaccord Genuity, Inc.: Thanks, guys, good morning.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Good morning.
Camilo R. Lyon - Canaccord Genuity, Inc.: Just going back to the port delays, could you guys talk a little bit about the categories that you've seen that are most affected and maybe some of the brands that you're seeing delays in those shipments? And also when in the discussions with the brands do you expect to have that product flow start to normalize? In other words, could that peer into second quarter from a delay perspective?
Jared Briskin - Chief Merchant & Senior Vice President: Yes, I think I'll start with the second question. We're starting to see it normalize a little bit. I think it will still take a little bit of the time to clean up. The larger brands definitely seem to handle it better than the smaller brands. From a categorical perspective, it was pretty broad based. We know the delays were very different. It wasn't necessarily categorical based, but the larger brands seemed to have a smaller number of the days in delay and the smaller brands seemed to have a much longer lead time.
Camilo R. Lyon - Canaccord Genuity, Inc.: Okay.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: And some of our brands they even move things to the East Coast to try to get ahead of it. And then – so we're trying to be proactive and then the East Coast couldn't handle all the volumes, so it – the shipments just got backed up even when we try to get a little bit more proactive on it.
Camilo R. Lyon - Canaccord Genuity, Inc.: Great, thanks for the color. And then just moving on to – two more questions. One, I don't – if I missed it I apologize. Could you tell us what basketball was for you guys and – in the quarter? And what's your view on the product launch calendar as far as you can see, which I think should take you through calendar 2015?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: The basketball category was double digit in the fourth quarter and was still the driver within the footwear category and from what we've seen so far, we're still very confident in the category and its influence in our business for the rest of the year.
Camilo R. Lyon - Canaccord Genuity, Inc.: And is there anything that you are seeing on the product side that could start to turn the performance aspect of running? It seems like that is starting to or has been a fairly decelerating/weakening category.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: I think there is, I think some focus on some of the core technology particularly around Air and some of the product coming with that I think will be helpful and there is some newness coming into the market on the running side that will be helpful. So we do see some things coming. I don't see necessarily a dramatic change in that business, but there is some newness coming that I think can give it some life, but I actually don't see the strength in the footwear business coming from the basketball and the lifestyle categories.
Camilo R. Lyon - Canaccord Genuity, Inc.: Great. And then just finally, what is February as a part of the first quarter? How big is that month to the quarter?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: It's slightly over 35% of our quarter.
Camilo R. Lyon - Canaccord Genuity, Inc.: And is that the biggest month of the quarter?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: It is.
Camilo R. Lyon - Canaccord Genuity, Inc.: Okay. Thanks, guys. Good luck for the balance of the year.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Operator: And the next question is a follow-up question from the line of Sam Poser with Stern Agee. Please proceed with your question.
Sam Poser - Sterne, Agee & Leach, Inc.: Well, one of the questions was answered. Jared just real quick, the fashion – you are expecting the club fashion or retro running business to continue to outperform the performance running business as you see it right now going forward, is that accurate?
Jared Briskin - Chief Merchant & Senior Vice President: That's accurate.
Sam Poser - Sterne, Agee & Leach, Inc.: And can you give us some idea – just for what you categorize where, could you give us an example of like one or two shoes in each category so people understand what you deem as what?
Jared Briskin - Chief Merchant & Senior Vice President: Sure, it's a technical running, so like an Ascis Nimbus as an example would be in our performance running category and Nike Roshe is in lifestyle.
Sam Poser - Sterne, Agee & Leach, Inc.: And the Free and the Lunar those live...
Jared Briskin - Chief Merchant & Senior Vice President: Free and Lunar live-in performance for us.
Sam Poser - Sterne, Agee & Leach, Inc.: Okay. Thanks for clarifying that, appreciate it.
Jared Briskin - Chief Merchant & Senior Vice President: Sure, Sam.
Operator: Our next question comes from the line of Sean McGowan with Needham & Company. Please proceed with your question.
Sean P. McGowan - Needham & Co. LLC: Thank you very much. Going back to something you have touched on in a couple of questions regarding the normalization. I think I understand what you are saying about the port delays and the weather. But can you sort of prioritize the impact of the tax rebate shift? How much of the first-quarter impact do you think – or the reduction in comps in the first quarter is a result of that shift?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: It's hard to pin point exactly, how much of that comp – if I'd estimate, I would estimate one to two points of impact because of that, in terms of number of days, it's about 10 or 11 days, that shifted into the back half of January.
Sean P. McGowan - Needham & Co. LLC: So that should absolutely have been normalized fairly quickly in the quarter, right?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: It should.
Sean P. McGowan - Needham & Co. LLC: Okay. And, Jeff, could you talk a little bit about the performance of the expanded stores, how that is going?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Yes, we continue to look at that and on average, we're around 5,000, we go to about 7,500 on average. These stores continue to do well, we always have to look for the right real-estate opportunity and they're not always there, but we used to have a list of quite a few stores close to 100 that we would like to expand if we could get the right deal and the real-estate works correctly from a lease standpoint and those stores always continue to do pretty well, when we do that.
Sean P. McGowan - Needham & Co. LLC: Okay, thanks. And then, Scott, last question for me is on CapEx. If you see it at that $30 million to $35 million this year, would you characterize that as an unusually high year level relative to what we could expect in the subsequent years?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Yes, I think that level will be similar to what we'll see over the next two years or three years. And this initial phase, that we're putting a new POS, definitely is a step up. We we'll continue to have some investments over the next couple of years at least similar to that and maybe slightly lower than this year, but it will be comparable.
Sean P. McGowan - Needham & Co. LLC: Okay, but you don't see it ramping up or ramping down dramatically, right?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: I don't. No.
Sean P. McGowan - Needham & Co. LLC: Okay. All right, thank you very much.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Rick Nelson with Stephens, Incorporated. Please proceed with your question.
N. Richard Nelson - Stephens, Inc.: Thanks, good morning.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Good morning, Rick.
N. Richard Nelson - Stephens, Inc.: How did the mall-based stores compare to the strips in terms of comps? And if you could comment also on the oil belt, particularly Texas, how those stores are performing?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Strips performed a little better than the mall stores in the fourth quarter. And as we look at those stores close to the oil patch, those stores continue to do well, you see some stories out there that there has been some layoffs and so forth in those areas. However, there's still a lot of activity going on in those areas. So we still see some nice volume out of those stores near that oil patch. As we go forward, that may level off a little bit, but there's still a lot of activity there.
N. Richard Nelson - Stephens, Inc.: Okay, thanks for that. I'd also like to ask you about the shoe wall roll out, where you are with that compared to the prior year and how much of an impact does that have on your footwear comps?
Jared Briskin - Chief Merchant & Senior Vice President: We're definitely seeing an impact. Early in the process we were measuring it and we were seeing the stores with the wall certainly outperform the stores without. We're in the process of getting it completely rolled out and are just about complete. So we feel very good about the program.
N. Richard Nelson - Stephens, Inc.: So it is a year from now, basically that you anniversary, the full rollout?
Jared Briskin - Chief Merchant & Senior Vice President: Correct.
N. Richard Nelson - Stephens, Inc.: Thanks.
Operator: Our next question comes from the line of Peter Keith with Piper Jaffray. Please proceed with your question.
Peter Jacob Keith - Piper Jaffray & Co (Broker): Hi, thanks. Good morning, everyone. Just to twist the oil question around a little bit. Could you comment on how you feel about the economic backdrop for your customer? Certainly you guys cater to somewhat of a, in some cases, lower income base with maybe longer drive times. Are you beginning to see any benefit from these lower gas prices at this point?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: That the main benefit that we've seen so far is just really on the expense side on our fuel costs. From a consumer standpoint, we've really haven't seen a bump yet, there is some indication that those folks have increased their savings rate somewhat and so that maybe coming, but we haven't seen any significant impact so far.
Peter Jacob Keith - Piper Jaffray & Co (Broker): Okay, fair enough. And then one other separate question just regarding to the POS rollout. I want to confirm, are you guys planning to have all stores done by the end of this year? And then to pivot off of that, when would we expect that the ship from store capabilities are fully turned on across the base?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: For the first phase of the POS implementation, our goal is to be in a position to start rolling out to all stores at the end of this year. So our plan right now is not to have all stores complete by the end of the year, but we should be ready to start rolling out by the end of the year and when we do start to rollout our aim is to do that, as quickly as possible. As you start to look at store to home capability, I mean that will be something that we look at, after we get this first phase complete. And we'll firm up those time lines, as we get closer to that. But that will be after the initial implementation.
Peter Jacob Keith - Piper Jaffray & Co (Broker): Okay. And just to help us understand I guess the first phase/second phase, is it just the hardware implementation and then getting it turned on? Could you just help us understand how that roles across 2015 and 2016?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Yes. For this year, a lot of the work is to install more of the hardware and some base level capability. And then following this year, it's more about building out the capability of that system in the software.
Peter Jacob Keith - Piper Jaffray & Co (Broker): Okay, that's helpful. Thanks a lot. And good luck with this year.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thank you.
Operator: Our next question comes from the line of Mark Smith with Feltl and Company. Please proceed with your question.
Mark E. Smith - Feltl and Company: Hi, guys. Can you talk a little bit about results in returns that you are seeing on stores in new geographic markets versus those in older markets?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Yes. I think as we look at stores in new geographic markets, sometimes it's mixed, sometimes we'll go into new geographic areas and we get a slow start. And it sometime takes us a little bit of time to figure out that customer and figure out the assortment and actually the timing of the flow of goods. And so we've seen cases like that in states like Wisconsin and Minnesota. As we learn more about those new geographic areas, typically, year two and year three, they out comp the base of our other stores. And so it's – we've seen that in a few different instances, but I think as we move forward, we continue to learn and to get better at doing that.
Mark E. Smith - Feltl and Company: Okay. And then talking about northern country a little bit more. Can you talk about cold weather apparel fleece, how that performed through the whole winter and then how you feel about inventory levels today?
Jared Briskin - Chief Merchant & Senior Vice President: We had a good season overall, we did had have some challenges in the outerwear category, but overall, we had a productive season on the winter appeal side and we feel, we've addressed some of our issues on the winter weather product and feel like we've entered the year in the good shape.
Mark E. Smith - Feltl and Company: Perfect. Thank you.
Operator: Our next question comes from the line of David Woodyatt with Keeley Asset Management. Please proceed with your question.
David N. Woodyatt - Keeley Asset Management Corp.: Yes. On the discussion of the outlook for fiscal 2016, the three items that you singled out gave us a heads up on those items that would be a headwind, appreciate you breaking those out. But it strikes me that most of those items look to be sort of ongoing continuing expense items – in some cases like healthcare would probably continue to increase. To what degree are there elements of any of those three items, particularly maybe in the point-of-sale expenses, that would be – could be considered temporary and sort of one time in nature that will subsequently fall off?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Yes. I would say for healthcare, it's hard to predict, what's going to happen beyond this year and so we'll continue to monitor that and update as needed. On some of the IT cost, as I mentioned, we are making some improvements in our infrastructure and security, disaster recovery and things like that. So they're probably little bit more heavily weighted spending in that area this year, which should level off in future years. Depreciation that will increase this year and it will likely increase in the following years, but as we bring on the capabilities of some of the initiatives we have talked about that will offset some of these expenses in future years. So it's an investment that it does take a little bit a while to get some benefit against that, but that's – our long-term plan is to get the benefit to help offset these future expenses.
David N. Woodyatt - Keeley Asset Management Corp.: Will these point of sale expenses be subsequently falling back after fiscal 2016?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: As we get further into this year, I mean we'll update the next phase and what that looks like. But to continue to build out the capability of that system, as well as looking at more of a typical e-commerce presence, there'll still be some spending after this year to enable that. But like I said, the further we get down the road, we'll start to generate some favorability from the sales standpoint to help offset those expenses. So I think what we're seeing now is more of a front-end load of the expense side of it to really position ourselves to get the benefit in future years.
David N. Woodyatt - Keeley Asset Management Corp.: Okay, thank you.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of John O'Neil with Imperial Capital. Please proceed with your question.
John O'Neil - Imperial Capital LLC: Thanks for taking my question and congratulations on a good quarter.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
John O'Neil - Imperial Capital LLC: So my first question with respect to SG&A, you mentioned there were some one-time items in there. Could you elaborate on that and how much that might have impacted the quarter?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: There was a fair amount of impact of more what I would call one-time cost; a couple of bits of information there. If you look at our new store cadence for last year, it was much more balanced. And so for example, in the fourth quarter we opened 22 stores. In the prior year we opened 30 stores in the fourth quarter. So that alone we reduced our new store costs in that quarter. We had some favorability for workers' comp insurance, just lower claims. We had some insurance claims that we got reimbursed for in the quarter. Annually, we look at our gift card breakage. As our gift card base has grown and continues to grow, that number does increase year over year. And then salaries and benefits were also favorable. Healthcare claims are a little bit lower. Store operations did a very good job on controlling store labor. So it's a combination of a lot of things that really helped us in the quarter, many of which won't continue for future quarters, at least what we're modeling. But things like store labor, I think you will see some improvement there especially with the new labor management system that we recently implemented.
John O'Neil - Imperial Capital LLC: Thank you. And with respect to the POS rollout, you mentioned that you plan to be in a position to roll that out toward the end of this year. How long would that rollout take to complete?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: The rollout would take several months to outfit all 1,000 stores. But whenever you have a POS switchover like that, the emphasis is on speed just because you don't want two POS systems at the same time. And so we're doing as much work as possible to make sure that we shorten that window.
John O'Neil - Imperial Capital LLC: So would the expectation be that you will have all that in place in advance of the holiday season? Because I'd imagine you don't want to be changing over in your fourth quarter, right
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Right, so we're just trying to position ourselves to start the rollout at the end of this fiscal year. And so there will be a lot of activity as we get into the beginning of next year.
John O'Neil - Imperial Capital LLC: Got it, thank you very much.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Thank you.
Operator: And our next question comes from the line of Bill Priebe with Geneva Capital Markets. Please proceed with your question.
William A. Priebe - Geneva Capital Management LLC: It's Bill Priebe, Geneva Capital Management. I had just a question on competition from some of your larger competitors, Academy, Sports Authority, and Dick's. Do you have any data that would tell us how many of your stores are within 20 miles, for example, just to pick a number that's maybe a 45-minute drive, or a half hour drive let's say, of a large big-box retailer? And how are those type of stores that are affected, how are they comping versus the general store base?
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: I'll start off on that one. As you look at our geographic dispersion our stores, if you look at a 10-mile radius, there's about a 25% overlap where we'll see a big-box competitor in our market. If you go down to a five-mile radius, it goes down to 15% or 16%. If you expand it to a 20-mile radius, it's closer to 40%. So that's what we've seen over the last couple years. That's stayed fairly constant. And one of the benefits that we have is, as we continue to open new stores, those new stores predominantly are in areas with little or no competition. So that does help us keep those ratios in line.
William A. Priebe - Geneva Capital Management LLC: Can I get a clarification on that? You said stores with a competitor within 20 miles there are 40% of your stores. Is that what you just said? I want to make sure I get it right.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Yes, close to 40% of our stores will have that big-box competitor in a 20-mile radius.
William A. Priebe - Geneva Capital Management LLC: And if you narrow it to 10 miles, about a quarter of your stores.
Scott J. Bowman - CFO, SVP & Principal Accounting Officer: Correct.
William A. Priebe - Geneva Capital Management LLC: Okay. And then you were saying in terms of how they comp, let's say the ones that are 10 miles or so where there's real competition, not a real disincentive to drive over there. How are they doing?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Actually, we've seen a lot of those stores have done better this year than even some of the average of the stores, so we really don't see that as being a major factor.
William A. Priebe - Geneva Capital Management LLC: Okay, thank you.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Thank you.
Operator: Our next question comes from the line of Adam Sindler with Deutsche Bank. Please proceed with your question.
Adam H. Sindler - Deutsche Bank Securities, Inc.: Good morning, guys. Thanks for taking my question, one quick question just on product. I didn't hear you mention anything about the athleisure, I think you guys call it, cycle. Where are you in that now? And just how do you see that playing out over 2015?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Without question, I didn't call it athleisure within the comments, but we're certainly referring to that internally. And calling out some of that fitness apparel and tights and the fleece bottom trends, that all fits in athleisure. And I still feel like we're at the beginning stages of it based on the cycle that we're in.
Adam H. Sindler - Deutsche Bank Securities, Inc.: And if I may, is that helping – is continued growth in that category driving some of the expected growth in price points and mix over 2015?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Sorry, the beginning part of your question broke up, so I apologize.
Adam H. Sindler - Deutsche Bank Securities, Inc.: Sure, yes, so is continued growth in this category specifically, is that what is helping to drive some of the better price points you are expecting for 2015?
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Absolutely, we definitely expect growth in this category, no question.
Adam H. Sindler - Deutsche Bank Securities, Inc.: Okay, thank you. I appreciate it.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Absolutely, thank you.
Operator: Our next question comes from the line of Eric Tracy with Janney. Please proceed with your question.
Eric Brandt Tracy - Janney Montgomery Scott LLC: Hey, guys. Good morning.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: Good morning.
Eric Brandt Tracy - Janney Montgomery Scott LLC: Jeff, I guess for you, just a little bit bigger picture. As you layer in the e-com build-out, still aggressively opening the door base, has there been any thought, discussion on what that ultimate store base should be? Any thought to tempering that and using the DTC business as another channel? I'm just curious on thoughts on that.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: We discuss that all the time. We know in the next few years, we could easily get over 1,300. There's no reason that we can't operate, that's within the 31 – 32 states that we operate in. Over time there's no reason that we can't have 2,000 stores. The way we look at the real estate, we still make a lot of money with our stores and we're going to places that the brick-and-mortar stores are needed. So we look pretty optimistic on that and we look at that number every year and the money – the stores make a good return in that first year and we think that once we get within with our e-commerce strategy, we're just going to enhance the volume in stores and also extra volume with the e-commerce. So we really think, we have such a bright future ahead of us that once we get some of these foundational things that we need from a system standpoint that, we'll grow even faster once we get all that situated and some of these fundamentals done.
Eric Brandt Tracy - Janney Montgomery Scott LLC: Okay, and then once the e-com is up and running, Can you talk through the plan to differentiate. Arguably other retailers are certainly well ahead, the brands themselves well ahead in terms of already tapping into that consumer. How do you recapture perhaps that consumer? What differentiates the e-com business for Hibbett? And then the follow-on is just sort of the product segmentation, how that is going to differ from SIG going to Nike direct?
Jared Briskin - Chief Merchant & Senior Vice President: Correct. Obviously the brands are growing, the brands themselves are growing and other retailers are growing, I think our biggest advantage is, people today like to shop one place and be able to either buy it in a store, pick up in a store or ship to your home. And I think people are very familiar with us in these small markets with our customer service and convenience, lifetime if you want something shipped, you could just drop back off a store and most of the time, we're the only store in town, and I think it's a huge advantage for us because we have such a huge customer base and we're in small towns. I think that's what we add, the difference that is more about convenience and a lot of people don't like to drop off at UPS or get picked up and also they like that customer service, which has always been and always will be the most important think we do is how do we service that customer, and we think that we're just adding additional value to what we already do and we think especially now we'll be able to get exactly the right size or the right color and with our service and people are very familiar with especially in a small town where maybe we're the only operator will only enhance our value to the customer.
Eric Brandt Tracy - Janney Montgomery Scott LLC: Okay, great. Thank you guys so much.
Operator: Mr. Rosenthal, there are no more questions at this time. I'll turn the call back to you for your closing remarks.
Jeffry O. Rosenthal - President, Chief Executive Officer & Director: I just want to thank everyone for being on the call. As you see, we had a great fourth quarter. We feel that we're set out very nicely for the rest of this year and that we have lots of value that we could handle that we can give to our shareholders overtime. And we look forward to having you on our first quarter call on May 22. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.